Operator: Greetings and welcome to the Bloomin' Brands Fourth Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Chris Meyer, Vice President of Investor Relations for Bloomin' Brands. Please go ahead, sir.
Chris Meyer - Group Vice President - Finance; Investor Relations Officer: Thank you, operator. Good morning, everyone, and thank you for joining us. With me on today's call are Liz Smith, our CEO; and Dave Deno, Executive Vice President and Chief Financial and Administrative Officer. By now, you should have access to our fiscal fourth quarter 2015 earnings release. It can also be found on our website at www.bloominbrands.com in the Investors section. Throughout this conference call, we will be presenting our results on an adjusted basis. These non-GAAP financial measures are not calculated in accordance with U.S. GAAP and may be calculated differently than other companies' similar non-GAAP information. Quantitative reconciliations of our non-GAAP financial measures to the most directly comparable GAAP measures appear in our earnings release on our website, as previously described. Before we begin our formal remarks, I'd like to remind everyone that part of our discussion today will include forward-looking statements, including our discussion of growth strategies and financial guidance. Such forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ from our forward-looking statements. Some of these risks are mentioned in our earnings release; others are discussed in our SEC filings which are available at www.sec.gov. During today's call, we'll provide a recap of our financial performance for the fiscal fourth quarter 2015, an overview of company highlights, a discussion regarding progress on key strategic objectives, and an update on 2016 guidance. Once we've completed these remarks, we'll open up the call for questions. With that, I would like to turn the call over to Liz Smith.
Elizabeth Smith - Chairman and Chief Executive Officer: Thanks, Chris, and welcome to everyone listening today. As noted in this morning's earnings release, our adjusted fourth quarter diluted earnings per share was $0.30, up 7%. We achieved our total year adjusted EPS goal of $1.27, up 15%. This represents 22% adjusted EPS growth on a constant currency basis. As it relates to Q4, we benefited from strong performance in our international business. We also had a strong finish to the year in productivity which helped us increase Q4 and full year adjusted restaurant margins by 80 basis points and 60 basis points, respectively. On the sales front, fourth quarter U.S. comp sales were down 2.8%. We knew that our back half trends would be challenged given three factors. First, our 2014 comp sales improved by 350 basis points from the first half to the second half. Second, it was a negative 90-basis-point impact from the holiday shifts for Halloween and Christmas. And finally, we reduced advertising spend across our portfolio to gear up for 2016 brand initiatives beyond quarterly LTO. Our number one priority in 2016 is to grow domestic sales. To support this effort, we will be making the necessary investments to elevate all aspects of the customer experience. Specifically, you will see significant investment in areas such as menu innovation, product upgrades, portion, staffing level, as well as capital improvements that we expect will return us to sustainable growth across our portfolio. Along with our domestic investment opportunities, we will continue to execute against our broader portfolio strategies including investing behind international and returning cash to shareholders. Also of note, we are pleased to announce the completion of a $300 million bridge loan that we've used to extinguish our CMBS loan. The lower interest rate will save us over $12 million in 2016. This is the first step to monetize our real estate consistent with our ongoing commitment to maximize total shareholder return. Now, I'd like to take you through fourth quarter performance and 2016 plans by concept. Although Outback's Q4 comps were down 2.2%, they finished the year with a positive 1.8% comp, the sixth consecutive year of comp sales growth at the brand. This was Outback's most difficult sales comparison of the year having posted a 6.4% comp in the fourth quarter of 2014. Our LTO in Q4 featured a four-course meal starting at $14.99. This offer performed in the heavy promotional period leading up to the holidays. In 2016, we plan to capitalize on the work we have been doing over the last two years to elevate our steak experience. We began this work with the pivot to steak authority messaging and LTOs, which helped drive our annual comp growth in 2014 and 2015. Concurrently, we have been developing the next phase of steak authority initiatives that touch the core steakhouse experience. These include multiple levers, which represent an opportunity for comp sales growth. First, we will be launching new menu innovation throughout 2016 that will focus on new cuts, presentation, and toppings for steak. The first LTO this year, our hand-carved roasted sirloin, is a good example of this strategy. This is a new steak offering for Outback that starts at an accessible $10.99 price point and is mixing well. This combination of steak news at affordable prices will be a consistent feature of our product innovation this year. Second, we will be investing significant dollars back into existing products. Our consumers have consistently praised the quality of the food we serve. We will continue to enhance our food offerings through a combination of product upgrades and increased portions without raising prices to cover this investment. Third, we will be investing dollars back into our labor model and kitchen display systems to improve service and execution. Over the past few years, we have been rolling out a labor scheduling tool, which has allowed us to achieve greater labor efficiency, but also identified areas to invest back into our service model. Fourth, as we've discussed previously, we plan to release the new Outback app at the end of the first quarter. The new app will allow guests to control their experience from the beginning to end including the ability to pay at the table. Fifth, our lunch business continues to grow and comp positive in locations that have had lunch for over a year. In 2016, we will use advertising tags (7:20) and social media to build awareness on our way to attaining our fair share of the $25 billion lunch segment. Finally, we've begun an aggressive multi-year rollout of the Outback exterior remodel program and expect to complete at least 150 in 2016. The design contemporizes our restaurants with improved curb appeal and has driven approximately 5% sales growth in 33 test locations. We will also continue to relocate Outback restaurants as quickly as quality sites become available. These initiatives will be implemented over the course of the year. This is a strong brand with great consumer appeal and given our many levers, we are confident that Outback will continue to grow in 2016. At Carrabba's, comp sales were down 4% in the quarter. Over the back half of the year, we significantly reduced advertising spend on a year-over-year basis as we geared up for our new menu launch. Advertising for the new menu launched on January 11. Although it's early, consumers' response to the menu has been positive and we will continue to update our progress as we build awareness throughout the year. The focus in 2016 will be on using the new menu to increase frequency and drive dinner traffic. Given that our current average guest only visits a few times a year, it will take some time to build, but traffic will be the key measure of success. The menu was designed to drive everyday dining, so we expect some decrease in check average. In addition to the new menu, our work to contemporize the ambiance in the restaurant continue with our remodel program. Carrabba's remains the undisputed quality leader and consumer preference for authentic Italian dining. The menu and design work will allow us to capitalize on this preference to increase guest frequency and continue to differentiate ourselves in the Italian category. Finally, Dave Pace, our Carrabba's President for the past two years has decided to leave the company to pursue his goal of becoming the CEO of a public company. I am very grateful to Dave for his passion, vision and leadership as he led Carrabba's through a defining moment for the brand. He will be missed. I'm excited to announce that Mike Kappitt, our Chief Marketing Officer, will replace Dave as President of Carrabba's. Over the past four years, Mike has a proven track record of brand building, and I'm confident that he is the right person to lead Carrabba's through its next stage of growth. Turning to Bonefish, Q4 comp sales were down 5.4% consistent with our expectations as we returned Bonefish to its polished casual roots. Overall, guest satisfaction is up significantly since the first quarter of 2015, and we have seen sizeable increases in areas such as value and taste of food. 135 recipes have been removed from the system to simplify execution and enable us to greatly increase the number of fresh fish offerings. We will be launching a major marketing effort in the second quarter to re-engage the consumer in the Bonefish experience. We are confident in the future of Bonefish as it remains a consumer favorite in the CDR segment across a variety of measures and surveys. Fleming's finished Q4 down 0.3% with total year comp sales up 1.3%, the sixth consecutive year of comp sales growth at the brand. In 2016, we will accelerate growth with menu innovation that balances value and indulgence, highlights seasonal ingredients, and pairs food with wine and cocktail experiences. I want to announce the launch of another key part of the strategy to drive comps across the portfolio. In July, we will begin the national launch of our first multi-brand loyalty program called Dine Rewards. The concept is simple. After three visits to any of our brands, customers earn up to 50% off their next visit. This program has been in test since 2013 and has proven to be an effective means to drive frequency and increase sales. When it reaches maturity, we expect Dine Rewards to drive a 1% to 2% lift in sales consistent with what we have received in six test markets. Turning now to the international business, Brazil posted a comp of 7.3% in the fourth quarter despite lapping a 4.2% comp in Q4 of 2014. There are challenges in the economy in Brazil, but our restaurants have proven to be quite resilient and performing in line with our high expectations. Our brand strength, world-class leadership team, and the relative under penetration of casual dining in Brazil gives us the confidence that we can aggressively invest capital into Brazil with high levels of return. Recent Outback openings continue to perform above their business plan. In addition, the investment in Abbraccio is already paying dividends. We have three restaurants open, and sales results have been similar to new Outbacks, validating our market opportunity and consumer appeal. Italian dining is the number two segment in Brazil, providing us with significant runway for growth. We're scheduled to open the first Fleming's franchise in São Paulo at the end of the first quarter. The expectations for Fleming's are high, and we have confidence in our proven ability to build brands in this market. I think it's important to step back and look beyond yet another successful quarter in Brazil to appreciate the world-class business we have built there over the past five years. Since 2010 in local currencies, revenues have more than tripled and profit has increased by 250%. This performance was driven by Outback's growth, which will continue but will now be supplemented by Abbraccio and Fleming's over the next five years. Among the top 10 economies in the world, Euromonitor projects Brazil will be the fastest-growing food service market. Shifting to Asia, Korea comps were flat. The efforts to stabilize this business have been successful. As we look forward to 2016, the focus in Asia will be on investing in both our successful business in Hong Kong as well as our growing business in China. The approach with China has always been go slow to go fast as we continue to customize the Outback experience for the Chinese consumer. We expect to slowly ramp up development in 2016. 2015 was a year of great progress on multiple fronts internationally. We expect the international business to again represent over half of our new unit openings this year. The focus will be on equity development in key growth countries. We will expand franchise capabilities to grow markets where we are not investing capital. And finally, our strengthening balance sheet and free cash flow generation have positioned us to be more aggressive in returning cash to shareholders in 2016. We have a new share repurchase authorization that increases our capacity to buy shares to $250 million. Looking back on 2015, we were pleased with our ability to deliver our earnings objectives. But it's clear that in 2016 and beyond, we must do more to maximize total shareholder returns. To achieve this goal, the first priority will be to grow sales in the U.S. As mentioned earlier, we're making significant investments in enhancing food quality, service and ambiance in our restaurants. Dave will lay out the financial impact of these investments on 2016. We are confident that these are the right areas of focus, and we have detailed plans to capture these opportunities. Secondly, we will continue to invest in our rapidly-growing international business. Brazil continues to perform at an extremely high level, and we have industry-leading brands. We will also invest in growth in the rest of Latin America and Asia. And finally, our capital structure provides major opportunities to maximize total shareholder return. As we just announced, the interest savings related to the new bridge loan is the first step to capture value and monetize our real estate assets. Dave will lay out in more detail the future plan we have for these properties. In summary, our confidence in the vitality of our tightly edited portfolio remains strong. We are excited about 2016 and are investing behind new levers of growth across all of our brands. We will aggressively invest behind these opportunities, and our decisions will be made with a lens of maximizing total shareholder return for our investors. And with that, I'll turn the call over to Dave Deno to provide more detail on Q4 and 2016 guidance. Dave?
David Deno - EVP, Chief Financial and Administrative Officer: Thank you, Liz, and good morning, everyone. I'll kick off with discussion around our sales and profit performance for the quarter. As a reminder, when I speak to net income and EPS, I'll be referring to adjusted numbers that exclude certain costs and benefits. Please see our earnings release for reconciliations between our non-GAAP metrics and our most directly comparable U.S. GAAP measures. We also provided a discussion of the nature of each adjustment. With that in mind, our fourth quarter financial results versus the prior year are as follows – adjusted diluted earnings per share was $0.30 versus $0.28 in 2014; GAAP diluted earnings per share for the quarter was $0.14 versus $0.17 last year; adjusted net income was $36.6 million versus $35.5 million for the fourth quarter a year ago; GAAP net income was $17.7 million versus $22.4 million in 2014. Total Bloomin' Brands revenues decreased 5.3% to $1 billion. Excluding the impact of foreign exchange translation, total revenues would have been down 1.8% for the quarter. Adjusted restaurant-level operating margin was 16.5% this year versus 15.7% a year ago. The impressive 80 basis point improvement was driven by sustained benefits from productivity initiatives such as our actual versus theoretical tool and our labor scheduling tools. Margins are also improved because of planned reductions in advertising spend and strong international performance. GAAP restaurant-level operating margin was 16.1% this year versus 16.3% the year ago. The difference between adjusted restaurant margin and GAAP restaurant margin was driven by certain legal matters that impacted both Q4 2015 as well as Q4 2014. Turning to G&A, after removing all the adjustments from Q4 2015 and Q4 2014, general and administrative costs were $67.4 million and $75.6 million, respectively. This decrease was primarily driven by lower compensation expenses and the impact of foreign currency translation. Total foreign currency-related unfavorability on adjusted results was $4 million and $13 million in Q4 and full year, respectively. When we entered the year, we expected a $9 million drag on profit from foreign exchange, but the continued devaluation of the Brazilian real had a much larger impact on our results than anticipated. However, Q4 was a strong finish to another great year in productivity. We finished the year with $70 million in productivity savings, the best year since 2009. We are making major progress on removing waste in our restaurants and continue to see the benefits from our labor scheduling tool. Turning to our reporting segments, international adjusted restaurant margin was 20% in Q4. This is significantly higher than margins in the U.S. As we grow in our key equity markets internationally, our consolidated Bloomin' Brands margins should benefit from the success of overseas investments. On the development front, we opened 11 system-wide locations in the fourth quarter, consisting of one U.S. Outback, two Bonefish Grills; seven company-owned international restaurants including four Outbacks in Brazil and one international franchise location. We reviewed our assets as part of the Bonefish revitalization plan and announced the intention to close 14 underperforming locations. In connection with these closures, we incurred approximately $24 million of pre-tax impairments in the fourth quarter. These charges have been excluded from adjusted results. I will now provide details on the strategy to monetize our real state that is held in an entity we call PropCo. After consultation with the Board, we approved a strategy for PropCo that involved two key steps. First, we extinguished our $460 million CMBS facility prior to its scheduled April 2017 maturity and refinanced this debt at more attractive rates. In December, we began to position ourselves to accomplish this by upsizing our term loan A by $150 million. Next, we closed on a $300 million bridge loan last Thursday. This loan carries an interest rate of LIBOR plus 250 basis points. Then last Friday, we used $450 million of proceeds plus excess balance sheet cash to pay off the $460 million CMBS facility. In addition, we also paid off transaction fees and the cost for early exit of facility. This is a big win for our company. We were paying a blended interest rate of 6.3% on the CMBS facility. Interest rate savings in 2016, net of additional borrowing, will be approximately $12 million. Second, now that the CMBS is paid off, there's more flexibility with the remaining 258 properties. We do not intend to own these properties long-term. Given the attractive real estate environment, our intention is to pursue sale leaseback transactions to maximize shareholder value. This will be done through a combination of individual transactions, as well as larger institutional transactions. The key will be to balance the potential value opportunity presented in individual transaction with the benefit of speed provided by larger deals. In addition, 15% of these properties will be held out for potential relocation opportunities. These sale leasebacks will have the following implications on our financial. First, as we execute these sales, rent expense will increase which will have an impact on margins. Once the sale leaseback strategy is fully executed, restaurant margins should decrease depending on future rent payments. Second, we are required to use a percentage of any sale leaseback proceed to pay off the bridge loan. Interest expense will decrease as the bridge loan is paid off. Third, depreciation will decrease as the properties are sold and the assets will no longer be on our books. Finally, our intent is to buy back shares with any excess proceeds from sale leaseback transaction. The financial benefit of the sale leaseback strategy will be limited in 2016 given the timing of the transactions. Moving into 2017, however, these transactions will likely have a larger impact on our share count. Expect updates on the progress during the year. Turning to our capital structure, the company repurchased $10 million of stock in the fourth quarter, leaving $30 million remaining on the existing $100 million share repurchase authorization. Last week, the Board of Directors cancelled this $100 million authorization and approved a new $250 million authorization. The authorization will expire on August 12, 2017, and brings the total potential buyback of shares to $250 million. This increase enables us to use excess balance sheet cash as well as sales leaseback proceeds to repurchase shares. Also of note, in February, our Board of Directors declared a cash dividend of $0.07 a share payable on March 10. I would now like to take you through our 2016 guidance. We expect adjusted EPS growth of at least 10%. This guidance is consistent with our long-term growth target of 10% to 15% and includes an expectation of continued FX headwinds. The most recent forward curves suggest another $10 million FX impact on our results in 2016 versus 2015. This represents approximately $0.04 of EPS or 3 percentage points of growth. On a constant-currency basis, our 2016 EPS growth guidance would be at least 13%. Anticipated $12 million interest expense benefit from PropCo refinancing will help offset the expected $10 million impact from FX. And this benefit is included in our at least 10% EPS growth guidance. In addition, expectations for 2016 commodity inflation have improved since our initial thoughts in November 2015. Instead of inflation in the 1% range, we now expect inflation to be approximately 0.5%. This represents a benefit of approximately $7 million. This commodity benefit should provide the additional funds necessary to pursue the investments that Liz discussed earlier to drive U.S. sales growth. These 2016 investments are about $15 million higher than 2015. Majority of these dollars will go towards upgrading food offerings through product enhancements and increased portions, as well as service initiatives. Importantly, this can be done without raising prices to cover this investment. We're optimistic that given the upside to our plan in the form of PropCo and commodities, we can offset the persistent FX environment and fund our investments and still achieve our at least 10% EPS growth target. Furthermore, these investments are expected to set us up to build same-store sales and continue to deliver on our long-term objectives. Turning to other elements of our guidance. We are expecting to deliver positive comparable U.S. restaurant sales. There will be some differences in how these comps will likely flow throughout the year, and I'll discuss that in a moment. We expect to see operating margin expansion again in 2016, as we continue to make progress towards closing the gap to our peer group. This does not factor in any increases in rent from sale leaseback transactions. Their impact to 2016 margins will be dependent on the timing, size and rent as we execute the strategy. In addition, on the G&A line, we will need to reload approximately $12 million in incentive compensation due to our 2015 performance against objective. Other than this item, we remain committed to zero overhead growth in G&A. As discussed, commodities are expected to be up 50 basis points versus 2015. Our domestic inflation will likely be closer to flat, while international is higher this year driven by Brazil. We expect our adjusted tax rate to be in the range of 26% to 28%. We plan to open between 40 new restaurants to 50 new restaurants, over half being international. And finally, CapEx will be between $235 million and $255 million. The composition will shift towards upgrading domestic assets and expanding international new units. Now, I'd like to turn to the cadence of sales and earnings during the year. As we consider the quarterly performance in 2016, there are some important aspects of note regarding the timing and sequencing of sales and earnings. First, U.S. comp sales were 500 basis points higher in the first half of 2015 than they were in the second half. This was primarily driven by the strength of Outback as they reinforced their steak authority messaging. Although this messaging continues to resonate with consumers, we expect that the first half comp sales will be lower than the second half comp sales as we lap this elevated level of performance. Second, as we make our investments, we expect the benefits to build during the year with most of the upside coming in the back half. Third, we expect foreign exchange headwinds of approximately $10 million based on the forward curve. Most of this impact will occur in the first half of 2016. Lastly, the timing of our annual managing partner conference falls in the first quarter this year versus the second quarter a year ago, shifting approximately $3 million into Q1 that were in Q2 in 2015. As a result of the above, we expect comps and earnings to be stronger in the second half of the year versus the first half of the year, and we expect Q1 EPS to be less than a year ago. In summary, we look forward to capitalizing on the opportunities in front of us in 2016. We are confident we are making the right and necessary investments, both domestically and internationally, to support long-term growth. We remain disciplined stewards of capital, and our improving capital structure provides us increased flexibility to return cash to shareholders. And with that, we will now open up the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. Our first question today is coming from Karen Holthouse from Goldman Sachs. Please proceed with your question.
Karen Holthouse - Goldman Sachs & Co.: Thank you for taking the question. Thinking about the change or the timing of ad spend for last year pulling back and this year investing more, when should we think of that starting to hit during the year? And is that something that's also in the category of investments where there's kind of incremental spending even versus the catch-up from last year?
Elizabeth Smith - Chairman and Chief Executive Officer: Yeah. So, Karen, the timing of the ad spend last year was, as you know, kind of the pullback in the second half as we readied for Carrabba's and then also as we doubled down on fixing the Bonefish experience in the restaurant. We have restored those advertising spend behind the programs that we have for 2016 which we feel really good about that. And you will see that building throughout the year. In terms of year-over-year investment, we do have increase in advertising year-over-year, but that is not part of the $15 million reinvestment that Dave talked about. That's reinvestment in the core 360 degree experience.
Karen Holthouse - Goldman Sachs & Co.: Okay. Thank you.
Operator: Thank you. Our next question today is coming from Jeff Farmer from Wells Fargo. Please proceed with your question.
Jeff D. Farmer - Wells Fargo Securities LLC: Great. Thanks. Over the last couple of quarters, you've pointed to an increased level of promotional discounting from the peer group as one of the bigger same-store sales headwinds for Outback. Just assuming the competitive environment is going to remain little unchanged in 2016, do you think your efforts to accelerate the product innovation and elevate food quality will be enough to slow the share loss for Outback? I'm just curious if you think that's enough levers to pull to get the job done.
Elizabeth Smith - Chairman and Chief Executive Officer: Yes. So, Jeff, last year, Outback had a challenging fourth quarter, which we knew it would. It was going over a 6.4% comp, which was its largest comp since the last seven years or eight years on a quarterly basis. But for the year, Outback did have a share-growing situation. So, it had a 1.8% comp for the year last year. So, it did continue to gain share. And yes, the promotional market is and will continue to be challenging. That's the nature of the casual dining industry and kind of the growth. I would just say I feel completely confident in the renewed set of levers that we have on Outback going forward in 2016. We have had a cycle of success on this brand, but it has been decelerating last year as we vetted and qualified new levers for growth that have been tested and that we roll out with confidence, and there are strong levers for growth and there are numerous levers for growth. So, the new menu innovation is true innovation against cuts, presentations and toppings. I think I said in my remarks, we've already started that in Q1 and we like the way it's mixing. Secondarily, we are investing back into existing products. So, you have this combination of product upgrades, increased portions without raising price. Third, I think you're going to see investments back into our labor model that surprise and delight in terms of customer service. We continue to expand lunch, and most importantly, we're shifting from the success we had in interior remodels to an aggressive rollout of exterior remodels, which have been in test and have proven to have a 5% lift. Now, we're going to get to 150 of them this year, more if we can, and we're looking to complete that within three years. And then finally, I'd say some of the investments that we've been talking about investing ahead of growth in the technology front are – the results are finally rolling off the conveyor line. Okay. So, we now have the Outback launch – Outback app to launch. We know what that does. We have loyalty that we've been testing for two years because loyalty, you really have to understand how it works and what incremental traffic it's driving. That goes out in July. That will be across the portfolio. So, I feel very confident in this new set of playbook growth levers for how it sets us up for growth in 2016, but even more importantly in 2017 and 2018 and beyond.
Jeff D. Farmer - Wells Fargo Securities LLC: And just one quick follow-up on that, as it relates to the labor, so what was your data telling you about reduced labor staffing levels and the impact on sales? What was going on there? Why the emphasis on staffing up on labor?
Elizabeth Smith - Chairman and Chief Executive Officer: Well, I'm going to let Dave answer that, but one thing I will tell you, if you go back to his past comments, we've said about our labor tool that it showed us where we could be more efficient. But we've always said it also showed us where we could add staffing hours. So we've capitalized on the efficiency, and now we're in a great place to be able to add some additional, what I'd call, service surprise and delights back in. And for competitive purposes, we're not going to get too deep into what we're doing on that front or on the product spec front, but I'll let Dave comment more, too.
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. No, I think it's consistent with what we've been talking about which is, we get the efficiencies from the labor tool because we were – in off-hours, we were a little heavy. And at other times, the experience during the day, we might need more labor, and Liz talked about the surprise and delight aspect of it. So having a labor tool that gets down to that level of granularity really helps us understand where we can add and also where we can be more efficient. So, it's a direct result of the labor tool we rolled out.
Jeff D. Farmer - Wells Fargo Securities LLC: All right. Thank you.
Elizabeth Smith - Chairman and Chief Executive Officer: The other thing I would say, Jeff, just to put your mind at ease about the efficiencies is that we didn't see any reduction in our customer service metrics related with service as we achieved these efficiencies. That's not what this is about.
Jeff D. Farmer - Wells Fargo Securities LLC: Okay. Thank you, guys.
Operator: Thank you. Our next question today is coming from Jason West from Credit Suisse. Please proceed with your question.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Yeah. Thanks. I guess you guys mentioned that you're making these investments, but you're not taking price to cover those costs. So, is the plan then to not have any incremental pricing as you move through 2016? Is that kind of the plan across all your major brands? And can you talk about kind of where you're running on price today and what that means for pricing over the rest of the year? Thanks.
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. We're consistent with our long-term goal of 2% to 2.5%. And what we mentioned there specifically is, we're not going above the 2% and 2.5% range to pay for these particular investments. So, there will be pricing next year per our usual model, but the point there is, we're not pricing beyond that to pay for these incremental investments in the business.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Okay. And then just to follow up on the margins again, the productivity savings, you guys have targeted $50 million every year. Is that still the plan as well in 2016? And it doesn't feel like much of that's flowing to the bottom line. But I guess maybe it's offsetting some other areas. Is that still the goal for 2016?
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. I mean, we had an 80-basis-point improvement in margins in Q4. That was very, very good for us. And then also, if you look, we didn't price up to commodity inflation. We're not going to do that. And so as a result, the AvsT work helped us maintain food cost percentage of sales during the year. And it's also that our labor scheduling tools helped us offset the – any wage rate pressures that we were facing. Now, secondly, going forward, we expect at least $50 million a year out of productivity, hopefully more than that because we've had some good success for it. And we continue to make progress up against our competitors on overall operating margin. So, yeah, the productivity piece has been a big part of that, Jeff (sic) [Jason] (36:18). It's helped us offset some cost pressures, and we're seeing gains in our operating margin each year.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Thank you.
Operator: Thank you. Our next question is coming from John Ivankoe from JPMorgan. Please proceed with your question.
John William Ivankoe - JPMorgan Securities LLC: Hi. Great. Thank you. I think just a follow-up to several questions that have been asked. Obviously, you've taken a lot of credit for the margins that you achieved in 2015, AvsT being part of that reason, labor scheduling being part of that reason. And it just seems from the outside that you're reinvesting some of the costs that you saved from 2015 into 2016. Again, I mean, that's just kind of what it looks on the surface, like what you cut in 2015, you're kind of adding back in 2016. So, shed a little bit more light on that. And then secondly, and to Jason's question, can you help us understand exactly what that, at least $50 million of cost savings, is going to be in 2016 and give us confidence that that doesn't influence the customer or the organization in some negative way where, again, a reinvestment may be necessary?
David Deno - EVP, Chief Financial and Administrative Officer: Yes. I think, I'll turn over to Liz to talk about the reinvestment piece because that's a very specific group of things we have decided to do; it's not to restore some of the things we did on productivity at all. But let me talk about that going forward, the, at least $50 million that we expect, John, will continue to be primarily – as we continue to work for AvsT in our food cost initiative, but also, we're getting some good results out of cutting back on some of our distribution costs as we work with some of our distributors. So, we'll see more and more things outside of the restaurants as we continue to make this journey on productivity. So, some IT savings, some distribution cost savings, some other savings of the supply chain, along with continue to work on our waste management systems and also getting even better in labor scheduling. But that's the makeup of the productivity piece going forward. And what is really good is that more and more of it is coming outside the restaurant as we work up the supply chain in different areas.
Elizabeth Smith - Chairman and Chief Executive Officer: So, let me address the other question because I want to be really clear about what the investment is. The investment is not putting back money that we took out of product specs or service specs that we now have to put back. Okay? It is investment in enhancing where we are now and taking those up because there's two ways to drive brand value. It's total benefits and experience, divided by price. And we're moving away from – because we've taken a lot of time to qualify these medium-term and long-term and more brand-enhancing pillars, we are moving away from the quarterly cadence of LTO and did you lap that and did you...? And we've gotten some great results in our tests by enhancing food quality, going in to kind of more provocative interesting cuts and also having some retail payment, if you will, in the restaurants. So, really it's very important for me to draw the distinction of we're not putting back what we took out. What we took out is working. Our customer satisfaction levels have stayed strong. These are enhancements because to grow the brand – continue, we want more brand-enduring pillars that drive for 2016, but also 2017 and 2018. So we're not saying, gee, we had a really good buy-this, get-this, and we didn't lap that. So these are investments back into the business that we have been vetting for two years, and I think very much our patience will pay off in these areas.
John William Ivankoe - JPMorgan Securities LLC: Thank you.
Operator: Thank you. Our next question today is coming from Andy Barish from Jefferies. Please proceed with your question.
Andrew Marc Barish - Jefferies LLC: Hey, guys. Just wanted to see on the Outback business, given some of the investment and the changes to come, the recent sort of two-year stacks on same-store sales have been kind of in that 4% to 5% range. Is that how we should continue to think about the near-term comps? I'm just having a little trouble kind of getting to the positive for the full year, given the compares in the first half are still challenging.
David Deno - EVP, Chief Financial and Administrative Officer: It's definitely – Andy, it's definitely a first half, second half story. I mean, as we tried to lay out, it's a 500-basis-point difference between first half and second half. And then we talked about the things that we'll be building during the year, our investments and other things that Liz had talked about, to give us a great deal of confidence in the same-store sales for the year. But it is a first half, second half story, as you look at the cadence of comps from last year.
Elizabeth Smith - Chairman and Chief Executive Officer: Well, the investments start out in Q1 and Q2. And the messaging starts out in Q1 and Q2. And I think I would just say yes, the cadence, Dave, has been crystal clear and transparent about the cadence, but I would also say, in general, it's a very strong bundle of levers that we're starting and investing in, in day one. So, those 150 restaurants are – we're fully down the pike in renovating them. It's a really strong Outback plan both for 2016, but for 2017 and 2018.
Andrew Marc Barish - Jefferies LLC: Got it. Thank you. Helpful.
Operator: Thank you. Our next question today is coming from Matthew DiFrisco from Guggenheim Securities. Please proceed with your question. Perhaps your phone is on mute, sir.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you. Can you hear me?
David Deno - EVP, Chief Financial and Administrative Officer: Yes, we can.
Elizabeth Smith - Chairman and Chief Executive Officer: Yes, we sure can.
Matthew DiFrisco - Guggenheim Securities LLC: Excellent. Okay. Just wanted to get a little color on two things and then ask you a marketing question. Did you say then that the rewards program starting in July in those six test markets was 100 basis points to 200 basis points of a same-store sales lift? And then I also want to know if you did anything on – if you could give us any color on to-go? Have you – has that been an area that some of your competitors that have picked up their to-go business, have you ceded some share there, or are you – is that a softer part of the business?
Elizabeth Smith - Chairman and Chief Executive Officer: Yeah. So, let me take that in two parts. Yes, to your first question that where we have loyalty in, in six markets over the past 18 months, it has driven a 100-basis-point to 200-basis-point lift. So, just wanted to confirm that. And again, we've tested that now for 18 months because of loyalty programs and the cadence of frequency in casual dining, you really want to make sure that you're getting that incremental visit. So, we feel very good about that, and we'll be rolling that nationally in July. On the to-go business, we know there's been a lot of publicity and a lot of folks talking about to-go. Our to-go business has always been strong. So what was an opportunity for some people to grow their curb size was a lever that, for us, was well developed. We haven't ceded share in that area. We do have innovation plans in that area, but I don't want to talk about them for competitive purposes. You see a lot of press releases about our various places getting into delivery and building – we will build our off-premise business, but we will do it like we do everything else, which is to qualify and test first so that when we go national, we know that it's sustainable and doable. So, it's definitely an area that will be an opportunity for CDR and we intend to continue to participate in that heavily, but we're going to keep our plans to ourselves until we launch them nationally.
David Deno - EVP, Chief Financial and Administrative Officer: The other thing I just want to add is, we have a lot of capability in our company with people who have worked in delivery businesses before. And so, we have people that can help us as we go forward.
Matthew DiFrisco - Guggenheim Securities LLC: But as far as the comp, did that perform, the to-go business in line with the negative...
Elizabeth Smith - Chairman and Chief Executive Officer: We did not see degradation beyond what we would expect. So, yeah, there wasn't any additional accelerated impact on the to-go business. To-go business, I think, has actually been pretty stable for us, and it's about 15% of sales at Outback, and we saw no trend change in that.
Matthew DiFrisco - Guggenheim Securities LLC: Okay. And then, just a question with respect to the limited time offer, that $10.99, can you remind us the last time you did an LTO at that price point? And then, how does that sort of – is that going to get marketing support heavily behind it? And from your experience with Bonefish, it seems like you're trying to take Bonefish back up. Are you concerned that the Outback brand, you could be taking it down to a level that might – I mean, have you tested this out? It sounds like a sort of pretty low price point that you might be at risk of further diminishing your – or reversing some of the gains you made in your steak authority and making it look like a little bit of a bar and grill discount almost.
Elizabeth Smith - Chairman and Chief Executive Officer: Well, two things. The first thing is, prior to – in 2014, it was all about $9.99 steaks and that was from us and our competitors. So, this is certainly not a new price point for the category. If we were taking our existing steak and discounting it to $10.99, that's a different thing. This isn't a discount. This is an LTO, it's a new cut of beef, and it has been engineered from the outset over the last year to be able to deliver a really nice return and a really nice plate presence at an accessible price point of $10.99. You see some bar and grills offers out there, as we expected, featuring steak at $8.99 because of the benign steak environment this year. So, we also see the number one competitor in the category. Their steak starting price point is significantly below that. So, we feel like we're in very good territory with a $10.99 steak price point and a meal that was engineered to show both innovation and have a nice return to net.
Matthew DiFrisco - Guggenheim Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question is coming from Karen Short from Deutsche Bank. Please proceed with your question.
Karen F. Short - Deutsche Bank Securities, Inc.: Hi. Just on the philosophy on kind of reducing the, I guess, reliance on limited-time offers. I guess I understand that that's the right strategy longer term in terms of going to market, but it also seems like it's kind of a painful strategy to go through initially in terms of weaning the customer off of the addiction. So, can you maybe just talk about that? And then, I had another question on Bonefish.
Elizabeth Smith - Chairman and Chief Executive Officer: Yes. So, LTOs are always going to be an important part of bringing news to the category. So, I don't want to suggest that we're out of the limited-time offer business. We are going to be focusing them, though, on innovation, and we're going to be taking dollars and have already started taking dollars from what is more discounting and putting that into brand-building programs such as loyalty. So, we will continue the cadence of bringing news to the category on Outback. I think we have probably the same amount, plus or minus, of innovation news offered. It's the type of innovation. You're going to see, back to the prior question, it's not all going to be the same price innovation. You're going to see greater cuts and more interesting things, commanding more interesting price points. So, I just want to reassure you that the news in innovation will continue, but a lot of the work in investing in the product is the core product upgrade. That is more where the investment has gone versus stripping it all out of LTOs. But we are going to be very thoughtful and mindful about making sure it's true steak innovation that we go on air with.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. And then, just on Bonefish, can you just maybe give some color on the closures? How much of a drag it might have been on the comp? But then also, you talked about increasing customer satisfaction, and I think you specifically called out value and taste of food as metrics that have improved. Maybe, do you have some color on how those ratings are now versus a year ago and then maybe what else do you actually still need to work on in terms of the customer satisfaction scores?
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. On the closures, we aren't going to get into kind of detail to break apart Bonefish comps in quite that much granularity. But I can say it was a modest, but not very large, drag on comp. But I think we took a concerted effort to look at where we weren't successful on those 14 restaurants and moved quickly to address it as part of our overall restructuring plan.
Elizabeth Smith - Chairman and Chief Executive Officer: And then on the customer satisfaction piece, we had said that the first thing we had to do when Gregg Scarlett returned to the brand a year ago was literally return the Bonefish experience, which continues to be among the most highly rated. And so, customer satisfaction scores from last year in Q1 versus this year in Q1 are dimensionally higher. And we don't give out our customer satisfaction scores, but we have returned to our previous highs on Bonefish of late. One of the best ways for you guys to get a sense of that is go on social media and see what they're saying about Bonefish and the experience and how that's been restored. First, we had to do that, right. So we said, we got to restore the core experience, the core service. We got to rip out the complexity. We got to get back to doing what we do best, and we've done that. And so, now we feel confident to reengage with the customer and bring them back into the restaurant because the Bonefish way is back. And so, that's when we're going to be, in Q2 of this year – you can imagine, we've been working on a pretty fun and cool program that we will come out with in Q2 to reengage folks because now we feel confident when they walk through the door of Bonefish, it's going to be the Bonefish that they know and love and highly rate. So, that's the planned cadence for that.
Karen F. Short - Deutsche Bank Securities, Inc.: Okay. That's helpful. Thanks.
Operator: Thank you. Our next question today is coming from Jeffrey Bernstein from Barclays. Please proceed with your question.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Great. Thank you. Two questions. Just one on the cost side of things, you mentioned commodity inflation a little bit less than you were previously thinking. I'm just wondering how much is still floating that could impact that guidance? I think you mentioned, you've got $7 million better just from that 50-basis-point reduction. And then, the same question on labor, I don't think you quantified specifically what type of labor inflation you're expecting across the P&L in 2016. And then, I had one follow-up.
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. Sure. We have much of what – commodities are locked. We don't get into details because of competitive reasons. And it's so crucial that our supply chain team continues to operate with the levers they have. But we're in really good shape on commodities this year. I think one thing to mention, the overall guidance we gave on 0.5% for commodities does include our International business where commodity costs are going up this year more than in the U.S. So, I want to make sure that that's out there. On commodity – on wage rate inflation, we're looking around 3.3%, 3.5%, something like that for the year. We're not in some of the high minimum wage states that some of our competitors are in, but it's something we're watching very carefully because it's a big part of our P&L, but we also want great people. So, that's our assumption for wage rate inflation, Jeff.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Got it. And then just on the Bonefish and Carrabba's, I mean, I think with Carrabba's, right, the new menu kicked in last month; and with Bonefish, I think, you said kind of the inflection point is hopefully in the second quarter of 2016 with some new marketing. I'm just wondering, is it – I mean, I'm not sure how long those things you would think would kick in. I think you said visitation is not that frequent, so it might take a while. But at what point do you more seriously contemplate other alternatives for those brands, or better said, maybe at what point would you expect those initiatives to really kick in? I mean, should we expect a change in trend line in the back half of 2016, or are we now thinking that it's more like 2017 before we see improvement at those former growth brands?
Elizabeth Smith - Chairman and Chief Executive Officer: No. So, let me say, we're certainly not expecting 2017. We are expecting 2016 to see the improvement in those trend lines of those brands absolutely. Bonefish has performed in the second half as we expected it to perform. So now, we feel confident in saying that growth is returning, and the trend line will continue to build as we go through the year. That's not going to be something that we say, oh, come back in 2017. So, we had told you guys the early indicators look good, and now the rest will follow. On Carrabba's, we kicked off the new menu on January 11, and so you are going to see that continue to build because of the frequency, and we feel good about how it went in. We like our new advertising campaign. And now, it's about driving that everyday dining during the week occasion that Carrabba's hasn't enjoyed as much penetration on. So, that'll continue to build, and the frequency will continue to build, but this is not a 2017 story for either brand. This is definitely a 2016 story of kind of renewed pivots, renewed investment in the brands.
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. And, Jeff, it plays into the first half, second half comp guidance that I gave. So that's part of it as well.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Thank you.
Operator: Thank you. Our next question today is coming from Andrew Strelzik from BMO Capital Markets. Please proceed with your question.
Andrew Strelzik - BMO Capital Markets (United States): Hey. Good morning, everyone. I just wanted to ask. I mean, I guess I was a little bit confused by some of the commentary. It sounds like, particularly at Outback and Carrabba's, the comp composition this year is going to be maybe more traffic-focused at the expense of mix, I guess. Is that right? And then what is your willingness to use some of those interesting price points to drive traffic? And is that, in your mind, a sustainable strategy over time?
Elizabeth Smith - Chairman and Chief Executive Officer: So, the only one that we commented on price and mix was Carrabba's, and that was intentionally done. And we kind of talked about that for the last year that we were going to be driving everyday dining, and everyday dining has a lower average check than special occasion on the weekends. But that's definitely a strategy that we've been talking about for the last year. Now, it's in market. And so, on that front, as I said in my prepared remarks, you are going to be looking at traffic with some planned reduction in PPA because you're driving a day part that has a lower check, right? So, that was always kind of the strategy with that. That comment doesn't hold for the other brands. When we talk about the $10.99 price point, that's just not a low price point for us on steak, particularly, if you look back over the last several years; what it is though, is that it's a new cut at a lower price. And we're going to have innovation across all spectrums of the – and I don't want to get too heavy into revealing our hand across all spectrums of price pointing. It was great to start the year out with the roasted sirloin and the new cut out at an accessible price point. But you're going to see innovation, and then, that innovation commands the price point it commands and it's not going to be one size fits all. So, I think you'll see some pretty cool innovation which it will be able to command some interesting price points from Outback as you go through the year. But again, we're starting the year off, and I don't think we want to kind of open the kimono completely on the plans coming down the pike. So, hopefully, you understand that.
Andrew Strelzik - BMO Capital Markets (United States): I appreciate that. And then, if I could just squeeze one more in, and I apologize if you already mentioned this. But the Bonefish closures, is that process complete in terms of looking at the asset base there or is that ongoing? And is there anything that you identified specifically with those units? I understand the return profile, but whether it was real state or markets or anything like that that you're taking away from that review?
David Deno - EVP, Chief Financial and Administrative Officer: No. This is the end of that particular Bonefish review. There was no smoking gun shall we say, or any pattern that we saw in markets or types of things that I could call out. But we just wanted to go through where some of the restaurants that are underperforming. And we always – any good restaurant company, always look into your portfolio as part of just the total shareholder return metric looking at your asset base, but this is the specific thing that we did on Bonefish.
Andrew Strelzik - BMO Capital Markets (United States): Great. Thank you very much.
Operator: Thank you. Our next question today is coming from Sharon Zackfia from William Blair. Please proceed with your question.
Sharon M. Zackfia - William Blair & Co. LLC: Hi. Good morning.
Chris Meyer - Group Vice President - Finance; Investor Relations Officer: Good morning.
Sharon M. Zackfia - William Blair & Co. LLC: I guess, on the initiatives around Outback, I think you talked about portion sizes, staffing levels, innovation, ambience, kind of a host of things. Liz, I'm interested in what your customer satisfaction scores say on those different elements? I mean, have seen any deterioration in any or all of those? I'm kind of wondering if it's a catch-up investment you're making and you've seen the deterioration or if this is more proactive investing to just keep up with the Jones'?
Elizabeth Smith - Chairman and Chief Executive Officer: Yeah. So, great question, Sharon. This is, as I said, not putting back what was taken out. This is upping our game. I mean, we are the number one steakhouse. We need to continue to invest and behave like that and lead in innovation and lead in new and sexy cuts and lead in product news. And so, that's kind of – it's taking the reassertion of our steak authority through the supply chain. And that took longer, frankly, than changing the methods. You can change marketing in a year, but if you're going to work your way all the way back to the supply chain, it just takes longer. And so now we're able to have that work that we've been doing, kind of to use the analogy, roll off the end of the conveyor belt. So, we think it's going to up the whole – not just up our game, but bring a lot of fun and innovation to the category which is where we started this journey 26 years ago. So, I just wanted just to clarify that. And in terms of some of the other investments on customer satisfaction, we haven't seen – nothing is being motivated defensively on Outback, but it is about pivoting to those new levers that we have been qualifying painstakingly and our patience will pay off this year because they are brand enhancing, they have been tested and they have been vetted. And so, when you look at the exterior remodels, I mean, no, there's been no change in customer satisfaction, but you could imagine we feel really confident, I know, Sharon, you've seen them, in touching 150 of those and the from/to is pretty dramatic. And so, that 5% lift is pretty much consistent. So, this is about pivoting to a new lever of growth that we have been meticulously testing and vetting, recognizing that the last four years or five years have been successful, but you saw decelerating comps because it was time to move on to the next playbook. And so, we really moved into 2016 with a lot of confidence.
Sharon M. Zackfia - William Blair & Co. LLC: Okay. Great. Thank you.
Operator: Thank you. We have time for one additional question coming from Michael Gallo from C.L. King. Please proceed with your question.
Michael W. Gallo - C.L. King & Associates, Inc.: Hi. Good morning. Thanks for sneaking me in here at the end of the call. I guess, just two follow-ups. Dave, I was wondering if you could parse out how much the year-over-year drag has been from the weakness in Carrabba's and Bonefish kind of on a combined basis to operating profit? And then, also, on the 14 stores that are being closed at Bonefish, how much of a drag those stores were? Thanks.
David Deno - EVP, Chief Financial and Administrative Officer: Yeah. Michael, I hope you appreciate, we don't break out profitability by concept. So, I really can't talk to that. I can say that our U.S. business had a really nice year in total, and some of those brands have contributed to that. But I can't get into the details as to what they provided. That's the first thing. Secondly, the drag on profitability on those store closures was pretty minor. Again, I won't break it out and get into any kind of detail. There will be some pickup in profitability but not very much, not enough really to call out.
Michael W. Gallo - C.L. King & Associates, Inc.: In terms of your comfort with the rest of the portfolio at Bonefish at this point and what you're doing in terms of being able to get it to be a growing brand, I know 2016 is more about kind of stabilization, but just help us parse out, again, what gives you the confidence that this is it in terms of the closure state of things?
David Deno - EVP, Chief Financial and Administrative Officer: The team, Michael, did a great job going through it. We went through it in great detail. I'm very confident that they picked the right restaurants and they moved on it quickly. And just one thing I do want to mention, and then maybe Liz will want to comment some more, but Outback Brazil did a 7.3% comp in Q4 of 2015. That business continues to perform spectacularly well, and Liz laid out in her prepared remarks the growth of the business over the last five years, the operating profit that we've seen, just how wonderful Abbraccio has come in and now Fleming's. That is a big part of our growth story, and so it's another really great comp in Q4 2015 for Brazil.
Elizabeth Smith - Chairman and Chief Executive Officer: Yeah. What I'd say about Bonefish, what gives us confidence is that it continues to be, in every consumer survey, in every consumer rating, among – in the top 5 or top 3, and kind of pick your survey. We needed to strip out the complexity that had impacted the core service to get back to what wasn't broken that we complicated, and we've done that. And I think the beauty of the portfolio is that it allows us with many levers to deliver our earnings objectives of 10% – at 13% I'd remind you, with constant currency while doing the right things for the business in the short term, medium, and long term, and that's what we did to Bonefish. We're going to get back to basics. We know we're going to take our lumps in the short term, but we know this is right and so we've restored the leadership team, we've restored customer service satisfaction levels, we've restored the supply chain back to having that simplicity and that fresh caught and that fresh fish mix. And now we feel the confidence to turn on and do the advertising to get everyone back in, but we weren't going to do that until we had completely restored and gotten where we wanted to be on that business. So, I have a lot of confidence in the Bonefish business. I think it's important in these businesses to look beyond quarter-to-quarter, particularly as we'll continue to be transparent about what we did and didn't do. But it's going to be a strengthening and a momentum story for Bonefish as we move through the year, and I look forward to updating you guys on it.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to Ms. Smith for any further or closing comments.
Elizabeth Smith - Chairman and Chief Executive Officer: Thank you all. We appreciate everyone for joining us today and look forward to updating you on the portfolio on our Q1 call in April. Thanks a lot.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.